Operator: Good day, and welcome to the Danaos Corporation Conference Call to discuss the financial results for the 3 months ending June 30, 2025. As a reminder, today's call is being recorded. Hosting the call today is Dr. John Koustas, Chief Executive Officer of Danaos Corporation; and Mr. Evangelos Chatzis, Chief Financial Officer of Danaos Corporation. Dr. Koustas and Mr. Chatzis will be making some introductory comments, and then we will open the call to a question-and-answer session. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Evangelos Chatzis. Please go ahead.
Evangelos Chatzis: Thank you, operator. Good morning, everyone, and thank you for joining us today. Before we begin, I quickly want to remind everyone that management's remarks this morning may contain certain forward-looking statements and that actual results could differ materially from those projected today. These forward-looking statements are made as of today, and we undertake no obligation to update them. Factors that might affect future results are discussed in our filings with the SEC, and we encourage you to review these detailed safe harbor and risk factor disclosures. Please also note that where we feel appropriate, we will continue to refer to non-GAAP financial measures such as EBITDA, adjusted EBITDA, adjusted net income, time charter equivalent revenues and time charter equivalent dollars per day to evaluate our business. Reconciliations of non-GAAP financial measures to GAAP financial measures are included in our earnings release, and accompanying materials. With that, let me now turn the call over to Dr. John Koustas, who will provide the broad overview of the quarter. John?
John Koustas: Thank you, Evangelos. Good morning, and thank you all for joining today's call to discuss our results for the second quarter of 2025. As we move through the second half of the year, some uncertainties around global trade are beginning to subside. In particular, there is increasing clarity about tariffs, many of which have been or are being finalized at much lower rates than feared. While tariffs on imports to the U.S. will be much higher than historic averages, the U.S. economy is stable and the American consumer keeps purchasing foreign goods. As inventories normalize, we anticipate a gradual improvement in trade flows. Geopolitically, there have been no major shifts with the conflict in Ukraine and Gaza ongoing. The absence of further escalation is somewhat reassuring though the potential for volatility remains elevated. We continue to monitor developments closely, but we have not seen any new disruptions to global shipping routes in the past quarter. Against this backdrop, we are maintaining our disciplined approach to capital allocation. We're not broadly participating in the current way of speculative ordering particularly in the feeder segment, where pricing appears disconnected from long-term fundamentals, and we're only pursuing investments that meet our return criteria. In the second quarter, we added one additional 6,000 TEU vessels to our order book at a figure with which we have an existing relationship. Importantly, this vessel has already been fixed on a 5-year charter to a long-standing client locking in visibility and attractive returns. Our chartering strategy continues to deliver results. We added approximately $113 million to our contracted revenue backlog since the previous earnings release and our $3.6 billion total contracted revenue base provides meaningful installation from short-term market fluctuations. Our contracted charter coverage stands at 99% for 2025 and 88% for 2026, including new buildings scheduled for delivery during this period. On the Drybulk side, we saw some seasonal firming in the market, but broader weakness persists, largely due to deflationary conditions in China. While we continue to evaluate opportunities in the sector, asset value for modern tonnage remain elevated, and we are in no rush to commit capital in an uncertain macroeconomic environment. From a financial perspective, we remain in an enviable position. With minimal leverage and the growing base of contracted earnings, we have the luxury of patients. Our strong balance sheet and cash generation capacity provide ample firepower to support our strategic priorities and position Danaos for long-term success. We continue to focus on disciplined execution, operational excellence and valued creation for our shareholders. With that, I'll hand the call over back to Evangelos, who will take you through the financials for the quarter. Evangelos?
Evangelos Chatzis: Thank you, John, and again, good morning to everyone, and thank you for joining this morning. I will briefly review the results for the quarter, and then we will open up the call to Q&A. We are reporting adjusted EPS for this quarter of $6.36 per share or $117 million compared to adjusted EPS of $6.78 per share or $132.3 million for the second quarter of 2024. This $15.3 million decrease in adjusted net income between the 2 quarters is mainly the combined result of a $24.7 million increase in total operating costs, mainly due to the increase in the average number of vessels in our fleet, a $3.6 million increase in net finance costs and a $2.7 million decrease in dividend income from investments, partially offset by a $15.9 million increase in operating revenues. On the revenue side, as analyzed in our earnings release, the increase in our fleet produced a combined $26.6 million of incremental operating revenues quarter-on-quarter, but was supplemented by an extra $2.8 million in higher operating revenues as a result of higher fleet utilization. Those were partially offset by an $8.2 million decrease in revenues on our container segment as a result of lower contracted charter rates between the 2 periods and $5.3 million lower noncash U.S. GAAP revenue recognition accounting. Vessel operating expenses increased by $9.3 million to $56.4 million in the current quarter from $47.1 million in the second quarter of 2024 mainly as a result of the increase in the average number of vessels in our fleet, while our daily operating cost increased to 7,556 per vessel per day for the current quarter compared to 6,961 per vessel per day in the second quarter of 2024. Our operating costs, however, we continue to remain among the most competitive in the industry. G&A expenses came in lower, slightly lower, decreased by $0.1 million to $11.2 million in the current quarter compared to $11.3 million in the second quarter of 2024. Interest expense, excluding finance cost amortization went up by $4.3 million to $8.9 million in the coming quarter compared to $4.6 million in the second quarter of 2024. This increase is a combined result of an increase in our average indebtedness by $265 million between the 2 periods, that produced $3.5 million of incremental interest expense and that was partially offset by a reduction in the cost of debt service by approximately 90 basis points, 0.9%, mainly as a result of a decrease in sulfur costs between the 2 periods. We also had a $0.8 million increase in interest expense due to lower capitalized interest on vessels under construction between the 2 periods. At the same time, as a result of increased average cash balances, our interest income came in at $3.7 million in the current quarter, largely offsetting interest expense. Our adjusted EBITDA decreased by 0.5% or $0.8 million and came out to $176 million in the current quarter compared to $176.8 million in the second quarter of 2024 for reasons that have been already outlined earlier on this call. We also encourage you to review our updated investor presentation that is posted on our website as well as subsequent events disclosures. I'd like to mention a few of the highlights. Since the date of our last earnings release, we have added $113 million to our contracted revenue backlog. As a result, our backlog remains strong and now stands at $3.6 billion, with a 3.8-year average charter duration while contract coverage is at 99% for 2025 and 88% for 2026. Within our investor presentation, you will find analytical disclosures on our contracted charter book. As of June 30, 2025, our net debt stood at $224 million. And in the current interest rate environment, this position changes from high interest costs. Additionally, the company's net debt to adjusted EBITDA ratio stood at 0.3x, while 53 out of our 84 vessels in the water are currently unencumbered and debt free. We have declared a dividend of $0.85 per share for this quarter, and we continue to have $94.3 million remaining authority to repurchase stock under our $300 million share repurchase program. Finally, as of the end of the second quarter, cash stood at $546 million, while total liquidity, including availability under our revolving credit facility and multiple securities stood at $924 million, giving us ample flexibility to pursue accretive capital deployment opportunities. With that, I would like to thank you for listening to this first part of our call. Operator, we are now ready to open the call to Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Omar Nokta of Jefferies.
Omar Mostafa Nokta: I just have a few questions. Perhaps maybe just first a bit on sort of the charter market. Clearly, you've added backlog here during the second quarter. It's obviously nice to see the backlog grow, although maybe the pace hasn't been as aggressive as we saw in the preceding 2 or 3 quarters. Just wanted to get a sense of how are you seeing the market now in terms of your charter demand. Has the pace of forward fixing slowed from your perspective? And then also, you do have a couple of ships that roll off charter. I think the one the CMA, the 6,500 TEU, they're rolling off in the next several months. I think there's options embedded. Is there -- are those being marketed? Or do you think those are going to be exercised?
John Koustas: Yes. Omar, the market is pretty stable. Demand is there for all the ships. There are a number of ships that actually have options. So there's nothing much that we can do further. Most of the ships of this year are already being fixed. Minimal things for next year. And when we're talking about 2027, there is still interest for newer ships over there. That's why we fixed also this new building that latest one that we got for 2027 delivery. For the time being and bearing in mind that we don't foresee any change in the Red Sea passage at least for the second half of 2025. I don't expect any significant changes.
Omar Mostafa Nokta: Okay. And then maybe just in terms of capital allocation, clearly, as you mentioned, now as you are well positioned with a strong balance sheet, nice backlog, good amount of cash. As we think about just capital deployment from here, you're going to take -- you're not chasing anything. You have plenty of flexibility. In terms of the buyback, it looks like it's been put on pause to an extent at least since the last update. Is that a change in approach in terms of how you're looking at that? Or is it just simply perhaps be tactical just given how strong the share performance has been.
John Koustas: So it's just that when you see actually the stock appreciating really so much to continue buyback, would have shot the price up quite dramatically, which is not really to the interest of long-term shareholders. It would just be, let's say, used for flippers. And that is why we have paused the buyback. On the other hand, despite okay, the shipping being a kind of an independent market, we see that there is a lot of froth in the stock market all over the place. And everybody is talking about correction. So this is going to drag shipping companies as well during that correction. And that's why we are very cautious into just chasing the market upwards.
Omar Mostafa Nokta: Okay. Yes, that makes sense to understand. And then maybe just a final one, maybe perhaps Evangelos to you, you were talking about the higher cost as a result of having more ships. Also just the rate itself per day went up quarter-over-quarter. Is this kind of a new -- would you say is this a run rate going forward? Or should we assume kind of a bit more of a moderation towards prior averages?
John Koustas: Yes. Thank you, Omar. To a great extent, it is a consumption because we had certain bulk orders placed within the second quarter. And obviously, you now see the quarterly figures shooting up, but this is going to normalize as we head towards 9 months of full year numbers.
Operator: The next question comes from Climent Molins, Value Investor's Edge.
Climent Molins:
Value Investor's Edge: In the prepared remarks, you had a comment on feeder ships speculative orders. Your fleet renewal program has mostly focused on vessels above 6,000 TEU, where you could secure long-term contracts. But could you...
John Koustas: Well, definitely a shortage of ship always provide a tailwind, but the thing is with feeders, it's very difficult to get long-term contracts unless you give pretty low rates. Because charterers can find the ships relatively easily, and they don't want to commit long term. On the other hand, there are lots of things happening. I mean, with all the new increased fuel costs, people will try to upsize services in order to get economies of scale and lower the cost per TEU mile on a larger ship and also bearing in mind that today, the new generation of ships is much shorter and can go in most of the ports that the feeder ships can go. Will really reduce that kind of demand. That's why we don't want really to overextend at prices which are rather expensive.
Climent Molins:
Value Investor's Edge: Makes sense. That's very interesting color. I also wanted to ask about your most recent newbuild addition, which has a scheduled delivery in 2027. Could you talk a bit about how you managed to get such a prompt delivery? Is it a resell? Or was it a function of your relationship with the yard?
John Koustas: It was purely a relationship with the yard. They adjusted their kind of their schedules, and there was one available birth and of course, as we were building in this yard, we were the first ones that they approached. And we concluded practically within a day a new contract. And then, of course, we went out and we chartered the vessel. But we didn't tie the ordering of the ship with the charter, which is what most people are trying to do.
Operator: It appears we have no further questions at this time. I would like to turn the call back over to Dr. Koustas for any further comments or closing remarks.
John Koustas: Yes. Thank you all for joining this conference call and your continued interest in our story. Look forward to hosting you on our next earnings call.
Operator: This concludes today's teleconference. We would like to thank everyone for their participation. Have a wonderful afternoon.